Operator: Good morning and welcome to the AutoZone Conference Call. Your lines have been placed on listen-only until the question-and-answer session of the conference. Please be advised today's call is being recorded. If you have any objections, please disconnect at this time. This conference call will discuss AutoZone's third quarter financial results. Bill Rhodes, the Company's Chairman, President and CEO, will be making a short presentation on the highlights of the quarter. The conference call will end promptly at 10 AM Central time, 11 AM Eastern time. Before Mr. Rhodes begins, the company has requested that you listen to the following statement regarding forward-looking statements.
Unidentified Company Representative: Certain statements contained in this press release are forward-looking statements. Forward-looking statements typically use words such as believe, anticipate, should, intend, plan, will, expect, estimate, project, position, strategy, and similar expressions. These are based on assumptions and assessments made by our management in light of experience and perceptions of historical trends, current conditions, expected future developments, and other factors that we believe to be appropriate. These forward-looking statements are subject to a number of risks and uncertainties, including, without limitation, credit market conditions; the impact of recessionary conditions; competition; product demand; ability to hire and retain qualified employees consumer debt levels; inflation; weather; raw material costs of our suppliers; energy prices; war and the prospect of war, including terrorist activity; construction delays; access to available and feasible financing; the compromising of the confidentiality, availability or integrity of information, including cyber security attacks; and changes in laws or regulations. Certain of these risks are discussed in more detail in the risk factors section contained in item 1A under part 1 of this annual report on Form 10-K for the year ended August 29, 2015, and these risk factors should be read carefully. Forward-looking statements are not guarantees of future performance, and actual results, developments and business decisions may differ from those contemplated by such forward-looking statements, and events described above and in the risk factors could materially and adversely affect our business. Forward-looking statements speak only as of the date made. Except as required by applicable law we undertake no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. Actual results may materially differ from anticipated results.
Operator: Now I'll turn the call over to your host, Mr. Bill Rhodes. Sir, you may begin.
Bill Rhodes: Good morning. And thank you for joining us today for AutoZone's 2016 third quarter conference call. With me today are Bill Giles, Executive Vice President and Chief Financial Officer, IT and ALLDATA, and Brian Campbell, Vice President, Treasurer, Investor Relations and Tax. Regarding the third quarter, I hope you've had an opportunity to read our press release and learn about the quarter's results. If not, the press release, along with slides complementing our comments today are available on our website www.autozoneinc.com. Please click on quarterly earnings conference calls to see them. To begin this morning, I want to thank all of our AutoZoners for another solid quarter. In the third quarter we continued to execute our strategies to organically grow our business. We expanded our US retail footprint with the opening of an additional 33 new stores. Our commercial business continued to grow, with sales increasing 6.5% and we opened 46 net new programs for the quarter. We now have the commercial program in 82% of our domestic stores. And we continue to expand our presence in Mexico, opening 7 stores this quarter. We did not open any new stores in Brazil this quarter and currently have 8 stores in operation. Lastly, we opened 1 new IMC branch, bringing our total branch count to 25. While we currently have approximately 90% of our total company sales coming from our domestic AutoZone stores, we continue to see great growth prospects in international and our other businesses. If I could sum up our quarter's major highlights, we continued on our game plan of executing our inventory availability and delivery frequency initiatives, while maintaining our efforts to constantly improve our customer’s experiences. We continued implementation of our multiple delivery frequency initiative, adding just over 300 locations this quarter. We now have approximately 1,600 of our stores receiving multiple distribution center deliveries each week. And we added two additional mega hubs in the quarter, for a total of seven now, and are targeting to open four more by the end of the fiscal year and we have more in the real estate pipeline for next year. Additionally, we continue to look for opportunities to expand our merchandise margins. And our new global sourcing initiative is a significant part of our focus, and, while still early, those efforts are progressing well. We also experienced some challenges this quarter. Our same-store weekly sales performance was quite volatile during the quarter. We started the quarter very strong, but recall that last year's third quarter started very weak due to a shift in tax refund timing. Additionally, we had a few weeks of poor sales when the weather was materially colder and wetter than last year. On the surface, it appears that the quarter started strong and then moderated. But when you assess it on a two-year basis, sales trends were generally consistent throughout the quarter. On a regional basis, our performance in the Midwestern, Mid-Atlantic and Northeastern states were substantially below other markets, especially in late March, all the way through the end of the quarter, where temperatures were much cooler and it was much wetter than usual. We continue to feel our retail business is benefiting from a continued focus on customer service, improving parts availability, and lower overall gas prices. Lower gas prices, we feel, are contributing to Americans driving more, although recent price increases at the pump have likely muted some of this benefit. Regarding commercial, we underperformed relative to the overall business in the same weather impacted markets noted previously. We don't think we are alone. Some of our large national account customers have told us and yourselves they too experienced weaker sales while temperatures were cooler than usual. What I'm most proud of is what we've done to address those challenges. We are focused on both our large and small account sales growth while incorporating a one team approach in communicating with our customers. As I talk to customers, I continue to see tremendous opportunity to grow sales and we continue to be excited about the performance and future benefit of our inventory availability initiatives. But we really have only scratched the surface with what we can do here. The forecast of a hot summer, which we would welcome, along with continued store level execution makes us optimistic about our sales potential heading into the summer. Getting back to DIY, our number one business priority, the business performance during the quarter was mixed. In markets unaffected by the weather patterns noted above, we continued to perform well. However, for the quarter our DIY traffic count turned slightly negative and our average ticket trends were slightly lower than the first half of the year. While the overall macro economy remains favorable for DIY, we also continue to gain share and would attribute those share gains to our investments in store labor and our inventory availability initiatives. We are committed to providing WOW! Customer Service at every store with every customer. Over the past two years, we implemented new methodologies to improve our hard parts placement techniques in all stores. We continued the rollout of more frequent deliveries to an additional approximately 300 net new stores in the quarter. We now have a total of roughly 1600 locations out of our 5000-plus stores on multiple weekly deliveries. Our results continue to confirm that this new strategy is appropriate, with the varying weekly sales volumes of our stores, replenishment needs vary, as well. For the fourth quarter, we expect to roll this increased frequency model to approximately 350 additional stores ending the fiscal year end with around 1,950 stores with this enhanced service model. The implementation of this initiative continues to create a gross margin headwind due to higher supply chain costs of approximately 20 basis points until we complete the rollout. While this effort will take a few years to complete, we would ultimately expect about two thirds of our stores to have increased frequency of deliveries. This past quarter's deleverage from deliveries was in line with the previous quarter. I appreciate our team’s efforts to manage these rollouts on a cost-effective basis. This is a material change in how we do business and our teams are executing it well and managing the costs effectively. Our sales lift from this effort continues to show the investments make economic sense. Additionally, we continue to be very pleased with our sales results from the mega hub stores. We ended the quarter with seven mega hubs and expect to add up to four additional mega hubs this fourth quarter. As a reminder, these super sized AutoZone stores carry 80,000 to 100,000 unique SKUs of inventory, approximately twice what a normal hub store carries. They provide coverage to both surrounding stores and stores serviced by other hub stores multiple times a day or on an overnight basis. Our sales results thus far in our open mega hubs continue to exceed our expectations, and we're experiencing sales improvements from both our retail and commercial businesses. While there is incremental costs to these rollouts, including payroll and fuel to execute the extra deliveries, we feel their cost deleverage is relatively modest. Our current assumption on this rollout is that we won't experience meaningful deleverage from this initiative this year. Currently, seven mega hubs support approximately 800 stores on a same-day basis and roughly 2,200 stores in total. And once built out, we would expect to have a network of mega hubs in the neighborhood of 25 to 40 total locations. Consistent with increased frequency of delivery from our distribution centers, we expect to complete our mega hub expansion over the next few years. Along with improving our local parts availability and assortment, we continue to manage this organization to provide exceptional service for our customers, provide our AutoZoners with a great place to work, with opportunities for advancement and ensure we do it on a profitable basis to provide strong returns for our shareholders. As with last quarter, we continue to invest in training our AutoZoners to say, Yes, We've Got It more frequently. Yes, We've Got It is the operating mantra for us in 2016. We've made meaningful enhancements in the last few years to our availability of inventory and now it is a time to ensure our customers experience and see that substantial change. We understand and appreciate the need to be appropriately staffed to handle our customer’s needs, as customer service is a key part of our value proposition and a key differentiator. When customers have requests for a part, product or simply advice, our objective is to say to them, Yes, We've Got It. With the current positive macro environment, we want to make sure our AutoZoners have the tools and specifically the staff necessary to provide our customers with the WOW! Customer Service experience they deserve. In regards to learning about our customers shopping behaviors, we are capturing data from all of our selling platforms. We know it is essential to be able to share information and process seamlessly between our stores, commercial shops, phone and online experiences in order to meet all of customers needs. While being several quarters away from truly using the data for marketing purposes, we believe having a holistic and seamless enterprise-wide perspective of our customers will change the way we communicate our message. As we are devoting more resources to building these capabilities, we think this will be a real differ differentiator for us over the next several years, more to come later. In order to support more frequent deliveries to new stores, as well as to mega hubs, we continue to expect to open two or three distribution centers over the next few years. At present, we are in the early stages of planning their openings and don't expect any distribution center to come online until fiscal 2017. Fiscal 2016 will incur some capital and operating expenses related to development, but the larger portion of the capital spend will be in fiscal 2017 and '18. Regarding our expectations for the capital required to open these new distribution centers, as we have completed further due diligence we have updated our expected capital required to $55 million to $60 million per distribution center. To summarize our plans, we expect to roll out more frequent distribution center deliveries and more mega hub locations over the next few years. We also expect to open two or three new domestic distribution centers over this time. While our total company CapEx will not be materially different this year from this past, we do expect to incur an approximate 20 basis point gross margin headwind from the multiple weekly delivery rollouts. Now, turning to the third quarter's results, our sales increased 4% on top of 6.5% growth in Q3 of last year. Our domestic same-store sales were up 2%. Our sales growth in Q3 slowed from the first half of the year and our earnings growth moderated as well. We attribute the majority of the sales and related earnings deceleration to weather patterns, particularly in the Midwest, Mid-Atlantic and Northeast regions, where it was considerably cooler this year. In regard to our three primary merchandise category splits in our US stores, both failure-related product sales and discretionary purchases easily exceeded maintenance this past quarter. Maintenance merchandise sales simply did not sell as expected and drove its piece of the mix below previous third-quarter percentages. We attribute the variance in sales between these businesses to the regional differences. Specifically, spring-related items simply sold at a lesser clip as cooler temperatures prevailed in certain geographic areas. While our total domestic sales grew 4% on the quarter, our domestic commercial sales growth was up 6.5%. As previously discussed, we feel like the ongoing initiatives in place position us well for our summer selling season. We believe our sales potential heading into the fourth quarter remains bright. As part of our strategy of increasing inventory levels in local markets closer to our customers, this past quarter we opened three additional hub locations, now operate 182. In addition to opening over time more mega hub locations, we also expect to open additional standard hub locations. Over time, we expect to operate as many as 200 to 225 stores as hubs. Regarding IMC, we opened one new branch this quarter and continue to be excited by our opportunities. We've opened seven additional branches since Q3 of last year. The IMC parts catalog is currently accessible to over 700 AutoZone stores on a same-day basis and over 1,400 AutoZone stores through overnight shipment. Regarding Mexico, we opened another 7 stores this quarter and now have 458 total locations. While foreign currency headwinds persist, Mexico's peso sales have done well. Assuming the peso stabilizes, we expect the pressure on our US dollar earnings from our Mexico business to begin to abate in the fall, as we begin to lap the most significant exchange rate increases. However, the volatility in the oil markets directly correlate the peso to the US dollar exchange rate and recently the peso has weakened with oil price volatility. For the quarter, the foreign currency headwinds lowered our EBIT growth rate by just over 1 percentage point. At the end of the quarter, the peso to US dollar was 18% worse than last year. Sales in our other businesses for the quarter were up 2% over last year. As a reminder, our ALLDATA and e-commerce businesses, which includes autozone.com and AutoAnything, make up this segment of sales. The biggest sales tailwind at the moment, in our opinion, remains the increased miles driven across the country. While volatility with weather has been the greatest headwind, increasing miles driven leads to more failure and maintenance related demand and benefits both our DIY and DIFM businesses. But unusually cool weather leads to limited sales. While we focus on both short-term and long-term performance, we remain committed to consistently delivering strong earnings performance and extending our streak of 39 consecutive quarters of double-digit EPS growth, which is a very important milestone for us. While our delivery frequency initiatives and expansion of our mega hubs will add some headwinds on our operating margin for the remainder of 2016, our focus remains on growing operating profit dollars at acceptable return levels. Now let me review our highlights regarding execution of our operating theme for 2016, Live the Pledge. The key priorities for the year were great people providing great service, profitably growing our commercial business, leveraging the Internet, improving inventory availability, and Yes, We've Got It. On the retail front this past quarter, under the Great People Providing Great Service priority, we remain focused on improving our store level execution. While we've added payroll this year, we are also stressing to our AutoZoners the importance of communicating our ever improving availability message. We've also been aggressive on our technology investments and believe these initiatives will help differentiate us on a long-term basis. We realize as customers have become much more tech and mobile savvy, we have to have a sales proposition that touches all the ways they desire to interact with us. Our current and future technology investments will lead to sales growth across all of our businesses. On the Yes, We've Got It front, we've added training, metrics and, most importantly, share of voice to educate our store level AutoZoners to help all of our customers with any part, product or advice needs they have. We are excited about this initiative. We should also highlight another strong performance in return on invested capital, as we were able to finish the quarter at 31.2%. We are proud of this metric, it is one of the best, if not the best, in all of hard lines retailing. However, our primary focus has been and continues to be that we ensure every incremental dollar of capital that we deploy in this business provides an acceptable return, well in excess of our cost of capital. It is important to reinforce that we will always maintain our diligence regarding capital stewardship, as the capital we invest is our investor’s capital. Before I pass the discussion over to Bill Giles to talk about our financial results, I'd like to thank our entire organization for executing on our many operating initiatives, while providing our customers with great service and managing our expenses appropriately and prudently. Now I'll turn the call over to Bill Giles.
Bill Giles: Thanks, Bill, and good morning, everyone. To start this morning, let me take a few moments to talk more specifically about our retail, commercial, and international results for the quarter. For the quarter, total auto parts sales, which includes our domestic retail and commercial businesses, our Mexico and Brazil stores, and our 25 IMC branches increased 4.1%. Our switching to macro trends, during the quarter nationally unleaded gas prices started out at $1.72 a gallon and ended the quarter at $2.22 a gallon, a $0.50 increase. Last year gas prices increased $0.42 per gallon during the third quarter, starting at $2.27 and ending at $2.69 a gallon. It is usual for gas prices to go up during this time of year as summer blend begins to take effect with refiners. We continue to believe gas prices have a real impact on our customers' ability to maintain their vehicles. And as cost reductions help all Americans, we hope to continue to benefit from this increase in disposable income. We also recognize that the impact of miles driven on cars over 11 years old, the current average, is much different than on newer cars in terms of wear and tear. Miles driven increased in both January and February. We don't have March or April data yet. The other statistic we highlight is the number of seven-year and older vehicles on the road, which continues to trend in our industry’s favor. For the trailing four quarters, total sales per average AutoZone store were $1,785,000. For the quarter, total commercial sales increased 6.5%. In the third quarter, commercial represented 19% of our total sales and grew $29 million over last year's Q3. As Bill said previously, we remain confident in our strategies to grow sales with this customer base for many years to come and we are particularly excited about the long-term benefits our inventory availability initiative will provide. Our commercial sales growth has decelerated some from the pace we have experienced in the last few years. In prior years, we had a much larger percentage of our commercial programs recently opened or going through the maturation cycle. As more of our programs have matured, the contribution to our sales growth or the maturation cycle has declined. This only partially contributed to our decelerated growth this past quarter. Regarding Q3 in particular, we also experienced slower growth in the Midwest, Mid-Atlantic and Northeast markets where the spring season has been very late to arrive. These markets commercial sales performance was materially below other regions for us. This past quarter we opened 46 net new programs versus 72 programs opened in our third quarter of last fiscal year. We now have our commercial program in 4,274 stores, supported by 182 hub stores, approximately 1,000 of our programs are three years old or younger, which is about 24% of the base. With our inventory additions and the support of the IMC acquisition, we are well positioned to grow our base business. This year we plan on opening around 250 commercial programs, approximately 120 more programs in Q4 alone. We have a very talented sales force and we are enhancing training and introducing additional technology to optimize the productivity of the sales force. We have increased our efforts around analyzing customer purchasing trends and in stock trends. We believe we are well-positioned to grow this business and capture increased market share as we continue growth profitably We continue to be excited about our opportunities in this business for many years to come. Our Mexico stores continue to perform well. We opened 7 new stores during the third quarter. We currently have 458 stores in Mexico. For the year, we expect to open approximately 40 new stores and we are on target to open a new distribution center this calendar year. This will mark our second DC in the country and it will support further Central Mexico store growth. As Bill previously mentioned, for the quarter the foreign exchange headwinds lowered our company EBIT growth rate by 1 percentage point. While we cannot control movements in functional currency versus planned assumptions, the Mexico leadership team continues to do an exceptional job managing the peso denominated business. If the peso stays at these elevated levels, it will continue to pressure our US dollar earnings into the fall. Regarding Brazil, we did not open stores in the quarter and continue to operate 8 stores. While sales growth has been very encouraging, we have been challenged by a weak Brazilian real relative to US dollars, as well. Similar to the peso's challenges versus the dollar, the real is devalued at 17% this year versus last year. When we embarked on this initiative, our intentions were to be very methodical and measured as we entered and learned about this market. Our objective was to assess whether or not our model was embraced by the Brazilian consumer and whether or not it was financially viable. We also wanted to very carefully manage the risk associated with entering a new market. We have determined that our model works well for the consumer and we continue to make good progress on the economic operating model, although we continue to operate at a loss currently. However, it is difficult to determine the long-term economic model with such a small group of stores. Therefore we've decided to reinitiate our store development efforts with a goal over the next few years to expand the store base to 20 to 25 locations. We characterize this as an expansion of our initial test. We haven't declared success or built long-term expansion plans but we are encouraged by the progress we have made and believe our progress warrants going to the next phase. Recapping this past quarter's performance for the company, in total our sales were $2.594 billion, an increase of 4% over last year's third quarter. Domestic same-store sales or sales for stores open more than one year were up 2% for the quarter. Gross margin for the quarter was 52.8% of sales, up 58 basis points. The improvement in gross margin was attributable to higher merchandise margins, partially offset by higher supply chain costs associated with current year inventory initiatives. In regards to inflation it remains subdued, down slightly last year. Currently we feel costs will be predictable and manageable. We remain cognizant of future developments regarding inflation and will make the appropriate adjustments, should they arise. SG&A for the quarter was 32.2% of sales, higher by 52 basis points from last year's third quarter. The increase in operating expense as a percentage of sales was due to higher legal expenses. The legal expense was driven by a single discrete item. I should also point out, like the previous two quarters, this fiscal year we had deleverage from our store payroll initiatives. We feel our customer service is a key differentiator for us versus the competition and we remain committed to investing in our AutoZoners. We continue to believe we are well positioned to manage our cost structure in response to our sales environment. EBIT for the quarter was $536 million, up 4.4% over last year's third quarter, our EBIT margin was 20.7%. Interest expense for the quarter was $34 million, compared with $32 million in Q3 a year ago. We expect our upcoming fourth quarter's interest expense to be up from last year's fourth quarter by a similar amount. As we sold $650 million in bonds this past quarter, the coupon was higher than the retired commercial paper, thereby raising interest expense. Debt outstanding at the end of the quarter was $4.95 billion or approximately $400 million more than last year's balance of approximately $4.5 billion. Our adjusted debt level metric finished the quarter at 2.56 times EBITDAR. While in any given quarter we may increase or decrease our leverage metric based on management's opinion regarding debt and equity market conditions, we remain committed to both our investment grade rating and our capital allocation strategy and share repurchases are an important element of that strategy. For the quarter, our tax rate at 34.8% was lower than last year's Q3 tax rate. This rate was lower than planned, as we had a discrete item that lowered our tax rate, an expected ongoing rate for us is approximately 36%. Net income for the quarter was $328 million and up 6% over last year. Our diluted share count of 30.4 million was down 5.9% from last year's third quarter. The combination of these factors drove earnings per share for the quarter to $10.77, up 12.6% over the prior year's third quarter. As Bill said in the press release this morning, the quarter was impacted by a legal charge, along with a discrete tax benefit, which netted to a reduction to earnings per share of $0.11 per share. Now, related to the cash flow statement, for the third fiscal quarter we generated $516 million of operating cash flow. Net fixed assets were up 5.6% versus last year. Capital expenditures for the quarter totaled $113.3 million and reflected the additional expenditures required to open 41 new locations this quarter, capital expenditures on existing stores, hub and mega hub store remodels or openings, work on development of new stores for upcoming quarters, and information technology investments. With the new stores opened we finished this past quarter with 5,226 stores in 50 states, the District of Columbia and Puerto Rico, 458 stores in Mexico, and 8 in Brazil, for a total AutoZone store count of 5,692. We also had 25 IMC branches open at fiscal quarter end, taking our total locations to 5,717. Depreciation totaled $69 million for the quarter versus last year's third quarter expense of $62 million, in line with the recent quarter growth rates. With our excess cash flow we repurchased $533 million of AutoZone stock in the third quarter. At quarter end we had $765 million remaining under our share buyback authorization and our leverage metric was 2.56 times at quarter end. Again, want to stress we manage to appropriate credit ratings and not any one metric. The metric we report is meant as a guide only as each rating firm has its own criteria. We continue to view our share repurchase program as an attractive capital deployment strategy. Accounts payable as a percent of gross inventory finished the quarter at 110.9%. Next, I'd like to update you on our inventory levels in total and on a per location basis, the company's inventory increased 3.7% over the same period last year, driven primarily by new stores over the last 12 months. Inventory per location was $629,000, consistent with last year, and $633,000 last quarter. Finally, as Bill previously mentioned, our continued disciplined capital management approach resulted in return on invested capital for the trailing four quarters of 31.2%. We have and will continue to make the investments that we believe will generate returns that significantly exceed our cost of capital. Now I'll turn it back to Bill Rhodes.
Bill Rhodes: Thanks, Bill. We are very pleased to report our 39th consecutive quarter of double-digit EPS growth, growing this quarter at a rate of 12.6% over last year. To execute at a high level, we have to consistently adhere to Living the Pledge. We cannot and will not take our eye off of execution, success will be achieved with a strong attention to detail and exceptional execution. We are confident in our initiatives, and we are pleased with the progress we are making in rolling out our new supply chain model by delivering inventory to our stores on a more frequent basis. In addition, the performance of our mega hubs has been strong and ahead of our expectations and we look forward to opening more. We believe these initiatives will benefit both our retail and commercial businesses. Our long-term model is to grow new store square footage at a low single digit growth rate, and we expect to continue growing our commercial business at an accelerated rate. Therefore, we look to routinely grow EBIT dollars in the mid single-digit range or better in times of strength, and we leverage our very strong and predictable cash flow to repurchase shares, enhancing our earnings per share growth into double-digits. We feel the track we are on will allow us to continue winning for the long term. We believe our steady, consistent strategy is correct. It is the attention to details and consistent execution that will matter. Our belief is that solid, consistent strategy, combined with superior execution drives success. Our charge remains to optimize our performance, regardless of market conditions, and continue to ensure we are investing in the key initiatives that will drive our long-term performance. In the end, delivering strong earnings per share growth and ROIC each and every quarter is how we measure ourselves. We are proud of our results this past quarter. But we are capable of doing better. We have a lot of work in front of us, but the future looks bright. Now we'd like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question is coming from the line of Simeon Gutman of Morgan Stanley. Your line is now open.
Simeon Gutman: Thanks. Good morning. Could you guys - can you share with us the spread between the weather and non-weather affected markets?
Bill Rhodes: Yes. It was roughly 500 basis points.
Simeon Gutman: Okay. So if its –and I guess we could make some assumptions on the percentage of stores that are affected. But if you look then at the non-weather affected markets, then that would probably equal something between a 3 and a 4 comp, I don't know if you'd agree or disagree with it. But if you look at that trajectory, are there any changes in those markets, whether it's internal efforts from some of the supply chain investments, anything miles driven in those markets, I mean, what's the trajectory like in the non-weather, is there anything notable?
Bill Rhodes: Yes, I would start with any time you're in the springtime, regardless of the markets you're in, things are changing. They're pretty volatile week-to-week. That's just the nature of the spring business. But I would say that the unaffected markets that we were talking about generally performed consistently with how they've been performing the last couple of quarters.
Simeon Gutman: Okay. That's fair. And then in the commentary you were talking about the distribution strategy, the DCs and the mega hub. Maybe it was the tone, but you sounded a little more bullish than you did in the last quarter. I don't know if that's the right read or not. But in general can you talk about the changes you are seeing or the adoption you are seeing with the distribution rollout?
Bill Rhodes: Well, I would say a couple of things on that front. I wouldn't say I'm necessarily more bullish. I think we continue to be pleased with the performance of the multiple deliveries per week program. We've said all along that as we rolled out the mega hubs they were outperforming our expectations. I guess, there was one piece of negative news and that is we updated our guidance on what our new distribution centers are going to cost. They are going to cost substantially more amount of money as we got further into the due diligence. But we believe in this strategy we're rolling it out. We're pleased with the performance so far. We can see how it is benefiting our business and think it will only gain more traction over time.
Simeon Gutman: Okay. Thank you.
Bill Rhodes: Yes. Thank you.
Operator: Thank you. The next question is coming from the line of David Schick of Consumer Edge Research. Your line is now open.
David Schick: Hi. Good morning and thanks for taking my question. I was hoping you could update us on the competitive environment. There's a lot going on out there, just your view on that. And then anything you could add on how you're thinking about SKU additions to the autoanything.com? Thank you.
Bill Rhodes: Thanks, Dave. On the competitive environment, number one, we have fantastic competitors. We have a lot of very strong competitors and have for a number of years, and that's both on the retail side and the commercial side. There is more than normal going on in the competitive environment. Obviously we have one competitor that's going through an integration effort and they're converting and or closing some stores. We're obviously monitoring that very closely and seeing how we can optimize our performance. But the biggest thing that we're focused on is us and our initiatives. We've got to make sure we believe in the game plan that we have and we've got to execute that game plan. So, I don't want to get too overly focused on what's happening short term in the competitive market.
Bill Giles: An AutoAnything, that's obviously primarily focused on performance and accessories business. But as you may have seen, we are beginning to expand in some replacement parts on AutoAnything. That's still relatively new but we're continuing to expand the SKU count on the site to be more encompassing and to really take advantage of the name AutoAnything.
David Schick: Thanks so much.
Bill Rhodes: Thank you.
Operator: Thank you. The next question is coming from the line of Kate McShane of Citi Research. Your line is now open.
Kate McShane: Thanks. Good morning and thanks for taking my question. My question is centered around commercial. I know you had said commercial was impacted by the weather, just as DIY was, and while accelerating in the quarter it didn't accelerate on the two year. How should we expect for the rest of the year to play out especially considering the two year stack?
Bill Rhodes: Yes, clearly, our commercial performance, if you go back to Q4 of last year, our commercial performance has decelerated. We talked about some of that deceleration, but not all of that deceleration has been due to the number of new stores that are going through the maturation process. But there's still a gap and we are very focused on why that gap exists and what are we going to do about it. We talked on the last call about really significantly increasing the engagement of our district managers and our store managers in the commercial business. We said at the time that will take time. That's proving to be you true, but I'm very excited about getting those great leaders more involved in the commercial business. We're also looking at what else can we do to drive sales in this business over the long term. We think inventory availability is having an impact and will continue to have an impact over the long term. But we've got to get more acceleration in our commercial sales growth.
Kate McShane: And just a follow up to the question prior about the competitive environment, do you have a sense of how much share gains is contributing to your business at this point and are you seeing more in DIY versus DIFM?
Bill Rhodes: I think we're seeing pretty fairly significant share gains on both sides. Clearly the market, we grew 6.5% on the commercial. I don't think anybody thinks the commercial market grew 6.5%. Now, that's not as wide a gap as we had before, and then all the indicators that we have on the retail side of the business show that we continue to gain share.
Kate McShane: Thank you.
Bill Rhodes: Thank you.
Operator: Thank you. Our next question is coming from Dan Wewer of Raymond James. Your line is open.
Dan Wewer: Thanks. I just wanted to drill into commercial a bit further. You did note that mega hubs are [exceeding plans] [ph], multiple delivery sounds like it's in line with expectation. And in the past you talked about stores with both initiatives, mega hub and increased fulfillment, to increase their weekly sales $1,000 to $1,500. But how do we reconcile those comments with the deceleration, that gap between 6.5% and 10% plus can't all be due to weather. So, is there any other company specific initiatives or challenges, let's say, with these initiatives that's not working out as you had intended?
Bill Rhodes: Let's make sure I'm clear on one thing first, Dan, when we talked about $1,000 to $1,500 per store, that's both our retail and commercial business. And, frankly, more than half of that goes to the retail side of the business, okay. We do believe inventory availability and saying Yes, We've Got It more frequently will build to longer and stronger relationships with our customers over time. But I don't think it is a flip the switch, and obviously that's playing out to be true. You said, yes, weather was a material drag on commercial. Also this maturation cycle is a significant drag. But, frankly, there is some more sales that we haven't figured out why we're missing those and we're working on that. And I have a high degree of confidence we'll figure it out and hopefully reaccelerate our commercial growth rate. But it's not lost on us. We're marginally disappointed with our commercial sales performance and frankly, disappointed with our sales performance overall for the quarter. But we're not managing this business for one month or one quarter or frankly, even one year.
Dan Wewer: Are you customers aware of the improved parts availability? Has that message been communicated recently?
Bill Rhodes: Yes, absolutely. We have territory sales managers on the ground in those markets. And nobody's more excited about turning on a mega hub or getting increased frequency of delivery than a territory sales manager or a store manager and they are preaching that from the rooftops.
Dan Wewer: And the last question I had, subtracting out the extra supply chain costs, it implies your merchandise margins are improving over 70 basis points year-over-year. Are we going through a new cycle of this gross margin expansion cycle or just the magnitude of further cost concessions from your vendors, is that accelerating?
Bill Giles: I think it's probably a combination of both cost concessions and also sourcing. And so we've put a lot more time, energy and effort around improving our capabilities around sourcing. We've mentioned earlier that we had established an office overseas to help support that effort. That's still relatively immature. And so from our vantage point we're very pleased with the hard work the merchandising organization has done to improve our overall margin rates and we really think there is continued opportunity for us to continue on that track some time into the future. Obviously I don't know exactly what that rate will be, but we're really pleased with the health of the margin and our opportunity to continue to grow it.
Dan Wewer: Okay. Thank you.
Bill Giles: Thanks, Dan.
Operator: Thank you. The next question is from Matthew Fassler of Goldman Sachs. Your line is now open.
Matthew Fassler: Thanks, excuse me, thanks a lot and good morning. You are executing the enhanced distribution and supply chain efforts with increasingly tight inventories. Can you just give us some insight as to how you are pulling this off, where the inventory is relative to where you'd optimally like to see it please?
Bill Giles: Actually, I'd say our overall inventory level right now at $629,000 a store is pretty close to where we think it should be able to sustain itself, between 629 and say, 640. I think that the more frequent delivery has allowed us to optimize some of the inventory even though we're increasing the amount of inventory we have in the mega hubs. So I think the organization's done a pretty good job of balancing out. We've obviously increased it pretty significantly, if you go back a couple of years. But we think that probably that 630, 640 is a pretty good range for us at the moment.
Matthew Fassler: Got it. A second question, Bill Rhodes, you talked about data capture and deployment of that data. Can you talk about what if anything is changing in your capacity to get that done and how you would envision deploying some of this in the future?
Bill Rhodes: Yes, I mean, if you think about it in the simplest form, we've acquired businesses over the years, and many of those businesses have some of the same customers that we have in the AutoZone business. So, think about ALLDATA and the customers that they overlap with our commercial customers, and think about IMC and some of the overlaps we have with those customers. So, we're really trying to build what we call one view of the customer, so that we have a holistic view of how we as an enterprise interact with that customer. And it's going to take us some time. We've been working on it’s for a while, but it's very hard to get all those data sets the same. I'm really pleased with the work our IT organization's doing but it's going to take us a while. When we come out the other side of it we think we'll be in a much better position in the market to those customers, be they retail or commercial.
Matthew Fassler: That's great. And then, finally, very briefly, you spoke about weather. You also spoke about traffic and ticket. To the extent that weather was an impact on the quarter and the markets where it was impacting you, is that felt more on the traffic side, on the ticket side or evenly?
Bill Rhodes: It's generally more on the traffic side, Matt. You do see some compression, for instance, if your battery business is off, because its - then that's going to hurt your ticket because that's a high-price ticket. But most of it is in the traffic count.
Matthew Fassler: Got it. Thank you so much, guys.
Bill Rhodes: Yes. Thank you.
Operator: Thank you. The next question is coming from the line of Greg Melich of Evercore ISI. Your line is now open.
Greg Melich: Thanks. I want to talk two things, one on sales and the other one is on payroll cost. First, on sales, I want to make sure I interpreted this right. Do we actually go negative in April, May? And if the two year stacks was stable through the quarter, why shouldn't we roll that into the fourth quarter because this is a harder comparison and assume comps are less than one. Then I had a follow-up on payroll costs.
Bill Rhodes: To answer your first part of your question, they were flat to slightly negative in the latter part of the quarter. But really, as I mentioned in the prepared remarks, Greg, sales were really volatile week-to-week, and it directly correlated with when those weather patterns were coming through. To your question about should you straight-line the two year comp, our premise at this point in time, as you know we don't give guidance. But we think the weather was a pretty significant headwind in this quarter. They are calling for a hot summer. We haven't seen it yet. It's starting to heat up around here a little bit, and hopefully it does in the Northeast. But we think if that comes to fruition we could have a pretty strong fourth quarter.
Greg Melich: Got it. So, the point is the two-year would have been influenced by weather?
Bill Rhodes: No question about it.
Greg Melich: Okay. Great. And then the second question was, I think in your prepared comments, and maybe I read it in the release, the pressure on payroll cost. Could you describe where that's coming from, if any of that is due to the new Department of Labor salary to hourly switches or just help us understand what happened there and what we should expect?
Bill Giles: Yes, I would think of it as more intentional. I think that we're very focused on improving customer service and so we've made some investments from a payroll perspective. Yes, we're getting some pressure from some of the regulatory environment in terms of wage rates, et cetera. But I would say that's much to a lesser extent currently. So today, I would say that it's more intentional from ensuring that we've got great customer service in the stores.
Greg Melich: Okay. And, I guess, Bill, while I've got you, then, on the higher CapEx cost for the DCs, should we just take the current CapEx and for modeling out just sort of add $50 million to $60 million for three DCs over a couple years? Is there any other thing we should…
Bill Giles: Yes, nothing much more dramatic than that, Greg. I mean, we've already added tractors and trailers to support more frequent deliveries. There will be a little bit more of that as we open up new distribution centers. But for the most part I would think of it as those three distribution centers over the next couple of years. Exactly right.
Greg Melich: That's great. Hope it gets hot soon. Thanks, guys.
Bill Giles: Me too.
Operator: Thank you. The next question is coming from the line of Tony Cristello of BB&T. You may now ask your question.
Tony Cristello: Hi. Thank you. Good morning. I wanted to ask a little bit about the IMC business. It sounds like there continues to be a lot of potential opportunity, but you don't discuss it much in terms of the plan for the rollout, just sort of integration into a potential to have those parts touch on some of your existing businesses. Can you elaborate a bit more on where you are in that rollout and how we should think about that alongside your initiatives to increase parts availability?
Bill Rhodes: Yes, I would say, first of all, the premise behind the acquisition of IMC was it's a good business and we think it can be a great business and can be substantially larger than it is today. After we bought them, we quickly started increasing the branch count. We were at 17 branches less than 2 years ago when we acquired them. We're now at 25, that's over 50% growth or right at 50% growth. And frankly, we've probably got a little bit out in front of our skis, we were moving too fast for an organization that had not opened a lot of branches over time, and we were also doing a lot of integration with AutoZone. And so, we've slowed down a little bit and intend to slow down our branch growth and really work on the fundamentals of the business in the 25 branches that we have and then restart the branch expansion later. We are using, as I mentioned in the prepared remarks, we have about 700 stores that are using and selling IMC parts. That is just to supplement our commercial offerings. It's not going to be a radical change in the sales trajectory of our commercial business. But it's a nice way to say Yes, We've Got It to a commercial customer who has a unique need.
Tony Cristello: And are the same territory managers or regional managers working on expanding that IMC as relationships of that part, as well as the newer initiatives? What I'm asking is, do you need to, as you grow your parts availability and your frequencies of delivery, add more sales in order to sort of educate and get that message out there?
Bill Rhodes: Yes, as far as a separate sales organization, we have separate and distinct sales organizations for AutoZone, commercial, ALLDATA and IMC. Now, we are doing some work around them on lead generation between the three different businesses, but each one of those is really a standalone organization. As far as on the AutoZone side regarding mega hubs and increased frequency of delivery, at the current point we don't believe we need a significant expansion of our sales force. We've got a very talented sales force that we've built over the last seven or eight years and think they are performing well. We've just got to keep telling our story.
Tony Cristello: Okay. And then just quick on a follow-up, I'm not sure if you categorized why you are increasing the cost in terms of those DC rollouts. Was there something that you found, whether it's automation or something, that you needed to provide, and I apologize if I missed it in the prepared remarks.
Bill Rhodes: No, I don't think we addressed it. Frankly, we just missed our estimate. It's been a while since we built a distribution center. These are in different geographies which have different site preparation costs. It was just a function of we got deeper into the due diligence and found out they were going to be more expensive than we thought. It's the same general operating model that we've opened in the last couple of distribution centers we've opened.
Tony Cristello: Great. Thank you for your time.
Bill Rhodes: Yes. Thank you.
Operator: Thank you. The next question is coming from Chris Horvers of JPMorgan. Your lines is now open.
Chris Horvers: Thanks. Good morning, guys.
Bill Rhodes: Morning.
Chris Horvers: Bill, I want to get your thoughts on how much of the slowdown could simply be the lapping of the benefit of lower gas prices. Could you refresh us on what you thought the benefit of lower gas prices was to your business in 2015 impacted it and when you thought it peaked during the year?
Bill Rhodes: Yes, I'm trying to remember back, I think we quantified it and said we thought it might be 1 point, 1.5 points, something like that. As we're thinking about gas prices currently and yes, they are elevated but they are still at historically low levels for the last decade or so. So, when we're thinking about it, yes, it may have muted that benefit, and maybe slightly a headwind, but we don't think it's a significant major driver. It will be interesting to watch what happens to miles driven as we get those data sets that show when gas prices started to increase. So far, all the miles driven data we've seen has been incredibly positive.
Chris Horvers: Okay. So, I guess, said another way, it's not as if we have to - any of your business out perform by that point, 1.5, and it's not symmetrical where we maybe have to give that back versus what the underlying trend was?
Bill Rhodes: No, what we've really seen is in gas prices the real shocks that we've seen have been when gas prices got to $4. And there seemed to be almost a magic switch there, that it changed customer behavior. People started changing where they lived or where they worked or using public transportation. There was a meaningful change in miles driven at those levels. Below those levels it's really hard to ferret out.
Chris Horvers: Understood. Thanks very much, guys.
Bill Rhodes: Yes. Thank you.
Operator: Thank you. The next question is coming from the line of Michael Lasser of UBS. You may now ask your question.
Michael Lasser: Good morning. Thanks a lot for taking my question. It's on the commercial side. If we look at your sales per commercial program, on a two year stack it decelerated to 3.5% from 5% the last couple of quarters. Can we attribute all of the 150 basis point sequential slowdown to the weather?
Bill Rhodes: No. I think you can contribute some of it to the maturation cycle change. You can contribute some of it to the weather, and I think there's still a gap there that we haven't identified yet.
Michael Lasser: So you previously talked about adding new commercial programs in areas where you already have a store, so there's some cannibalization impact. So are you still seeing that and is it now being compounded by the maturation curve issue such that…
Bill Rhodes: No, I think cannibalization by definition is less today than it was three or four years ago when we were opening 400 programs. We're just not opening as many on top of the other programs.
Michael Lasser: I guess, the question was getting at is, are those mature programs still in decline or has the decline started to abate?
Bill Rhodes: Yes, I don't think they were ever in decline. I think that they were not growing as rapidly as we would have expected because that cannibalization was coming in. Now a specific store, if we open a store two miles down the road, yes, it might go in decline for six months. But as a general rule, most of them were continuing to grow.
Michael Lasser: And Bill, my last question is, in your mind, did you have some time frame on how long it might take for these investments to pay off? And has that been slower than you expected and now you have updated thinking on the time frame for earning return there?
Bill Rhodes: No, I think we're absolutely on par, if not ahead, with our initiatives, particularly the mega hubs. We see the performance every week. We know that they are outperforming where we thought we would be. We see the inventory, the frequency of deliveries, they continue to perform in line with our expectations, if not even a little bit ahead there. So, we're seeing that performance. There's just other things that are going on in the business too, that are giving us a little bit of headwind and that happens over time.
Michael Lasser: Got it. Okay. Thank you so much and good luck.
Bill Rhodes: Yes. Thanks.
Operator: Thank you. The next question is coming from the line of Bret Jordan of Jefferies. Your line is now open.
Bret Jordan: Good morning, guys.
Bill Rhodes: Morning.
Bret Jordan: A quick question on IMC and those 700 stores that have same-day distribution of the catalog, are you seeing any impact on those commercial volumes relative to the other stores?
Bill Rhodes: We're clearly seeing that we're selling some products to them, but it's not going to be a meaningful change in the overall performance of the commercial program.
Bret Jordan: Okay. And then on AutoAnything, as you're beginning to put some replacement parts through that channel, is the pricing strategy the same or as you're selling on an online platform like AutoAnything, do you have to price against the RockAutos as opposed to the other brick and mortar retailers?
Bill Giles: I'd say that we're focusing it more on an online strategy and we're basing it based on the level of value proposition that the online retailer has. So obviously returns are a little bit more difficult, you don't have the trustworthy advice that you have at a brick-and-mortar store. So we're pricing it appropriately based on that and based on the level of service that we provide.
Bret Jordan: Are you differentiating the products so people don't wind up going to AutoAnything to buy the same thing cheaper that they could have bought at AutoZone?
Bill Giles: Yes, it will be a different product, different brand, et cetera.
Bret Jordan: All right, great. Thank you.
Bill Rhodes: Thank you.
Operator: Thank you. The next question is from the line of Alan Rifkin of BTIG. Your line is now open.
Alan Rifkin: Thank you very much. With respect to the 1,600 stores that are getting greater deliveries, can you maybe provide some color on the relative comp of those stores relative to the corporate average?
Bill Rhodes: It's a great question, Alan, but we don't focus on it that way. What we're doing, we run simulations so we can understand what they wouldn't have sold. And those stores are all over the country. So some of these weather patterns that we're seeing would distort those views in certain areas versus other areas. I think we're just going to stick with what we've said all along, that we expect, when a store gets each of these two initiatives, then their sales will grow between $1,000, $1,500 per week, and we're seeing that's being confirmed in our test results, excuse me, our roll outs.
Alan Rifkin: Okay. And on the commercial side, you said that it was slowing a little bit but could you maybe provide some color as to the increases? Is it coming from you new customers or are you just seeing greater traffic or greater ticket from already existing accounts?
Bill Rhodes: I think we're seeing both. Clearly we're constantly out there trying to hunt for new accounts and build better relationships. We also are out there building deeper relationships with the customers that we have. So I would say it's on both sides.
Alan Rifkin: Okay. Just a quick point of clarification, the two to three additional DCs does not include the one in Mexico you're adding later this year, correct?
Bill Giles: That is correct. That's exactly right, Alan.
Alan Rifkin: Thanks for that clarification. Thank you.
Bill Rhodes: All right. Thank you.
Operator: Thank you. Our last question is coming in the line of Scot Ciccarelli of RBC Capital Markets. Your line is now open.
Bill Rhodes: It sounds like Scot - I think he already asked a question. So we'll just go into the closing. Before we conclude the call I want to wish everyone a nice Memorial Day weekend, and look forward to updating you on our initiatives in September. While we're excited about our growth prospects for the remainder of the year, we will not take anything for granted as we understand our customers have alternatives. We have a solid plan to succeed this quarter, but I want to stress that this is a marathon and not a sprint. As we continue to focus on the basics and focus on optimizing long-term shareholder value, we are confident AutoZone will continue to be very successful. Thank you for participating in today's call.
Operator: Thank you. That concludes today's conference. Thank you for participating. You may now disconnect.